Operator: Good morning ladies and gentlemen. Thank you for joining us today at The Westin New York at Times Square for Abengoa Yield First Quarter 2015 Presentation and also thank you to those joining us through the conference call. Just a reminder that this event is being webcast live on the Internet and the replay of this presentation will be available at Abengoa Yield corporate website at abengoayield.com. This presentation will be followed by a Q&A Session, where we will give priority to the questions from the audience and then we’ll open the lines for the questions from those connected to the conference call. Abengoa Yield is a total return company that owns a diversified portfolio of contracted renewable energy, power generation, electric transmission, and water assets in North America, South America and EMEA. Abengoa Yield focuses on providing predictable and growing quarterly dividend or yield to shareholders. Finally, we remind everyone that this presentation contains forward-looking statements and actual results may differ from those statements. The presentation includes industry data and forecast as well as certain non-GAAP financial measures. We refer you to slide two of the presentation which includes cautionary statements regarding the use of forward-looking statements and industry data and forecast as well as a note regarding GAAP financial measures. Joining us for today is Santiago Seage, Chief Executive Officer and Eduard Soler, Executive Vice President and Chief Financial Officer. I will now pass you over to Mr. Santiago Seage. Please go ahead, sir.
Santiago Seage: Thank you very much. Good morning everybody and we are going to be covering today few things. We’re going to be covering our first quarter results and we will be announcing and describing third drop-down or assets from Abengoa to ABY; after that we will be updating our guidance and finally will have a Q&A session where we will start with people here in the room and we’ll continue later with people on the phone. I am going to move directly to Q1 results where as we can see our Q1 numbers show solid results in terms of revenues and EBITDA with a very significant growth versus last year, in both cases in line with our expectations and a very good result in terms of cash available for distribution, $38.5 million, which is more than 25% of CAFD guidance for the year and showing that Q1 was very strong in terms of cash generation. On the following page, we take a look at our results by geographies and sectors where we see growth, significant growth across the three geographies and across our three main sectors with numbers for the first time in water which as you know this is the first quarter where we have had assets in operation in this new segment. And if we look at renewable, very high growth as we now have more assets in operation than a year ago what we did, conventional good numbers with very good results from our asset in Mexico and transmission, a significant growth as well. Next page, we show a few key operational metrics with all segments delivering good results; in the case of transmission and conventional, very good results, very high availability and in the others, renewable and water, results in line with what we expected for our first quarter which is very significant growth versus last year. We stop for a minute on page seven to talk about Mojave. Mojave is the last large asset we put in operation but in late 2014, what we can tell you now is that ramp up is over as planned. At this point in time the asset is reaching its fair capacity every day. And what we can say is that, when asset has been in operation for four, five months, each doing slightly better than what we expected, has been able to beat budget in the last few months after a lower start in December, January with initial phases of the ramp up. So very happy with the asset and should be giving lots of very positive news in the next months in terms of cash generation.
Eduard Soler: If we move to page eight in terms of cash flow, a very solid as well, operating cash flow generation of around $37.4 million, investing cash flow of around $90 million negative, that’s the result of usually of the purchase lots of the second drop-down assets that we announced back in February and financing cash flow of minus $90 million approximately which obviously includes payment of the first quarter dividend that we paid during the first quarter and that is included as financing cash flow. So, nothing surprising from a cash flow point of view. If we move to page 9 in terms of leverage; at corporate level, we had cash of around $85 million at the end of the quarter that means a net corporate debt position at holding level of $291 million. And if we look at our operating subsidiaries, we have total net project finance debt of around $3.6 million. In terms of leverage, that means that the key ratio which is the net corporate debt divided by cash available for distribution pre corporate debt service, we have 1.8 at the end of the quarter, which is well below our target of always being below 3 times cash available for distribution before debt service. That means that we have more room for leverage in the future. If I move to slide 10, our Board of Directors last week approved the dividend corresponding to the first quarter of 2015 and the level approved was exactly the guidance we had provided you for the quarter back in November 2014 when we updated guidance for the year and we gave you the guidance of dividend for the quarter $0.34 per share. That’s a very significant increase versus previous quarter and versus the IPO guidance that we had given to you for this first quarter 2015, a 30% -- 31% increase versus then. And finally, before moving to the new acquisition that we are announcing today, in terms of an update of where we are in executing the second drop-down, two-thirds of that second drop-down that we announced back in February, having away acquired, the acquisition has been completed; to be the specific, the water asset under 30% Helioenergy 1 and 2 and the remaining Shams and ATN2, still pending of closing at this stage.
Santiago Seage: Thank you very much. So Q1, what we believe are very solid results and we have very strong cash generation. To give you an indication, payout ratio in this Q1 has just been slightly over 70%, so a very safe payout ratio, very conservative one. Let’s talk about the second part of the agenda, which is the third drop-down that we are announcing today. Abengoa Yield has entered an agreement with Abengoa to purchase $669 million worth of equity in assets, specifically 450 megawatts of renewable energy assets. We are purchasing the 70% of Helioenergy that we don’t own yet as Eduard just explained. We purchased recently a 30%; with this, we would own a 100% of this asset and additionally, we are purchasing another 250 megawatts of solar energy, Helios and Solnovas. These are another two assets located in the South of the Spain that have been in operation for two and five years, so very significant track record from an operational point of view; the assets delivering very consistent generation and therefore having for us a very low operational risk. These assets are purchased; these assets operate in euros but we are purchasing them over the next five years with a return in dollars. What we -- Eduard will explain later; what we are doing is making sure that for the next five years, our return will come in dollars and by hedging to a shop [ph] agreement those euros. Additionally, we are purchasing 51% of another solar asset located in South Africa in the north of South Africa; it’s 100-megawatt facility that has started operation earlier this year. Contract with Abengoa has been signed already. The only condition is final documentation for each of the acquisitions and in some cases waivers that need to be obtained. In terms of CAFD, in terms of cash available for distribution, these assets are expected to generate around $63 million of CAFD which results in a yield of 9.4% for this acquisition. Financing of the transaction has already been secured through a capital increase that was priced last Friday at $33.14 per share pursuant to a private placement that results in an increase of 20.2 million shares moving from 80 million to 100.2 million shares. This price represented a 3% discount versus the closing price of Thursday which is the day that was used to define pricing. This acquisition includes the call option that Abengoa Yield has signed with Abengoa in December 2014 and the transaction has obviously been approved by our Board of Directors and by the sellers’ Board of Directors. If we take a look at the assets, the three assets we are purchasing in Spain are very similar to the ones we already own. As I mentioned before, we have very good track record from an optional point of view as they have been in operation for a number of years already. There are very significant synergies with existing assets in Spain and we have in front of us between 20 an 23 years of regulated revenue, depending on each of the assets with five years generating cash in U.S. dollars including the swap agreement we will describe later. Each of the assets has got project finance in place. And we expect these assets to perform very well as they have been performing in the last few years. If we take a look at the asset in South Africa, this is a 100-megawatt facility where we are purchasing 51%. The plant is located in the north in the Kalahari Desert which is a very high solar irradiation area. Irradiation there, to give you an indication is higher than in the Mojave desert for example or than in Southern Arizona. The rest of the shares, the main partner there is IDC. IDC is the largest industrial group in South Africa owned by the state of South Africa by the South African administration. And the plant has 20-year power purchase agreement signed with Eskom that is the utility in South Africa including a guarantee from the South African Department of Energy. There is project finance in place and commercial operation was reached earlier this year.
Eduard Soler: One of the most important features of this transaction where we are acquiring some assets located in Europe is that we have also reached an agreement with Abengoa, the seller to dollarize the cash flows coming from these assets. Through this hedge agreement that we will sign with Abengoa, the assets of this transaction will be dollarized using as a reference, the exchange rate as of the date of the acquisition of the assets within five years. And on top of that, we have also agreed with Abengoa that these hedging mechanism not only covers the assets denominated in euros that we are purchasing as part of this transaction but also the assets denominated in euro that we own from previous transactions including the [indiscernible] during five years, we are removing the euro exposure in our portfolio. The other currency governance exposure that we will have outside the U.S. dollars will come from the project we are acquiring in South Africa Kaxu, that will represent 7% of our cash available for distribution pro forma of this transaction and into low 10% allowance for currencies not U.S. dollars that we want to have and that we have always communicated to the market. In terms of our mid-term long term protection on this currency exposure to the rand, what we have cleared is a PPA in this local inflation, so long-term economic theory says that there should be high correlation between depreciation of the currency and inflation and that in depreciation mechanism, the PPA should offset in the long-term to a large extent any potential depreciation. This agreement with Abengoa we believe is a very efficient way to cover the euro risk. Number one, it allows us not to use bank credit lines for hedging which means that you can use them for leverage to finance acquisitions in the future. And number two, we take advantage of a natural hedge that exists with Abengoa. We are a company that operates in U.S. dollars and we are purchasing assets in euros that we would like to hedge and Abengoa at the same time is a company that seems [ph] in euros, operates in euros but cash stream in euro dollars which are the key reasons they receive from us. So, the fact that there is that this much if you want allows us to create this mechanism of compensation where we dollarize the cash flow from these assets and Abengoa converts in to euros of hedges into euros the stream of dollars they receive from us. So, it’s a mechanism that is captured amount of inlands [ph] that Abengoa receives from us. That is a target exposure of 40% and considering the size of our exposure to euros, it means at coverage for this mechanism of 1.3 times which gives us a lot of comfort that this is a that mechanism is very effective. If we move to page 18, it gives you a flavor of how our portfolio looks like pro forma of this transaction. As I said in terms of currency, we will be 93% dollar, taking into account the hedge agreement for five years that I just described to you and 7% exposure to our currencies. In terms of geography, we remain high in portfolio with a very large North American component. Europe represents 27% that as we acquire assets in the future as they will mainly be in other geographies including North America, that number should dilute over time to something around 15%-20%. And final, in terms of sector, no surprises, we remain largely renewable energy company with a large exposure to transmission and conventional. In terms of risk profile, we are not changing anything. More than 90% of the interest rate exposure is hedged long-term because our project finance typically comes with long-term hedge of the interest rate and extremely limited commodity exposure. If I move to page 19, one of the key features of our portfolio is the long nature of our contracts and that continues to be the case. Pro forma of this transaction, our portfolio still has a weighted average remaining life of around 23 years, so no changes there with very high quality off-takers; all of them investment grade except for a few that are not graded but those that are not graded represents less than 4% of the cash available for distribution. And on top of that, even if they are not graded, they have gone through those off-takers having analyzed by banks providing project finance at project level, which is a very good test of the credit quality of those counterparties. And something very important, pro forma of this transaction, 60% of our CAFD, of our cash available for distribution comes from assets where revenues are mainly based on availability and not on production that means that 50% of our cash flow don’t have an associated volume reach and that means that our portfolio -- the stability of cash flow is very, very high.
Santiago Seage: So in summary, what we announced today’s our large acquisition at what we believe is an attractive yield of 9.4%, majority dollars and majority assets with a very long track record that results in a pro forma portfolio that doesn’t change versus what you know and we continue having the same strengths in terms of very long PPAs or regulated revenues and no interest rate or commodity exposure and limited currency exposure. With this transaction what we want to do is update guidance. And what we are doing now is telling you that our 2016 guidance is increased from the $1.92to $2 per share in terms of DPS that was provided in late 2014; we now increased that to $2.10 as large $2.15 per share. This is up to a 9% increase. And it means that our 2016 numbers in terms of DPS will be more than 30% higher; there will be more than 30% growth versus our 2015 numbers. At this point in time, we are not increasing our 2015 guidance. Obviously the transaction is accretive from 2015 but what we want is to save some good news for later in the year and that’s why we believe that increase in 2016 as you can see here, should make you comfortable that the transaction is significantly accretive and hopefully later in the year, we’ll talk about 2015 guidance. In terms of DPS growth forecast; for the first time, we are providing you mid-term growth target. Now with this last acquisition and with very high visibility in our ROFO pipeline, we feel comfortable talking about guidance here on 2016. As you can see on page 22, the guidance we are providing for 2016 is obviously much higher than the numbers shared at the time of the IPO. And beyond 2016, we believe that given the visibility in our ROFO pipeline, we can now talk about 12% as large 15% annual growth in terms of DPS. That kind of growth together with the more than 30% we have told you in ‘16 versus ‘15, would result in more than 20% growth between the 2015 IPO numbers we gave you and 2020 guidance. Therefore, what we are trying to tell you here is this is the third program we will do from Abengoa in 11 years; we will now go through that ROFO pipeline only counting on Abengoa, we can deliver a very significant growth with a very high visibility. And where do we believe that this growth coming -- going forward is going to be coming from? We see four main areas of growth; these are not going to be the only ones but these are the four large areas for acquisitions. In first place, the U.S. renewable and water market where our objective is to combine acquisitions coming from Abengoa with acquisitions coming from third parties in three main sectors, water; wind and photovoltaics. The second growth area is going to be Mexico where Abengoa has got several very large assets under construction. Among these assets, three are large natural gas fire plants, conventional assets with very significant synergies with the asset we already own in Mexico. And additionally, Abengoa is building a very large water infrastructure asset that we should be offered we believe in the next few years through the ROFO agreement. Additionally, in Mexico, Abengoa is working on a number of other opportunities that make us believe that there could be even be further growth in Mexico. Third bucket of growth would be Chile in solar but not only in solar; Abengoa at this point in time is building two very large solar assets there in northern Chile that we believe will be operated as ROFO in the next few years. And Abengoa continues working on a number of other projects under development that again make us believe that Chile will be a significant source of very attractive growth. And finally transmission lines, Abengoa is building at this point in time transmission lines in several countries in South America and is working on other developments that make us believe that in Peru, Brazil and Chile and potential in some other countries, we should be able to see in the next few years opportunities for growth. And for the first time, we are providing you visibility regarding the CAFD that we expect to see through ROFO agreement. So on page 24 what we have included are all the assets that Abengoa has in operation or construction that we expect to see as ROFO proposals in the next few years divided by sector. In total, we are talking about $350 million in CAFD without including projects under development. So Abengoa, when they talk about assets they are working on, they include more assets than this list because some of them are under development. Here we only include operation and construction. Out of this $350 million, most of it is in dollars, a significant majority will be in dollars. And obviously every quarter this list should continue growing because Abengoa continues starting construction of new assets as finish development or they win within processes. This is what makes us very comfortable that the 12% to 15% guidance we’re giving you beyond 2016 is achievable, given the visibility we have of this pipeline, even without talking about third-party acquisitions. In summary, what we’re announcing today is an acquisition on page 25 of a very large let’s say transaction, in terms of equity price $669 million with very long tenures as all of our other assets, 22 years an average and in U.S. dollars, resulting in a portfolio where 93% of our cash will be in dollars. In second place, this is our third drop-down from Abengoa proving that the relationship is working, proving that we can achieve very significant growth from our sponsor. Additionally, on top of the drop-downs that we have made, we now have a very long-term visibility from potential ROFOs that will be coming from Abengoa and from the warehouse facility that Abengoa has created with financial partner Abengoa Project Warehouse number 1. This makes us believe that over the next three years more or less, the growth we need to achieve is there. If we can grow with third-party acquisitions further, much better but the growth we need in order to achieve our targets is already in operational construction. Third, we have shown what we believe are very solid numbers for Q1, clearly ahead of the IPO forecast. In fourth place, we have talked about what we believe for attractive numbers in terms of acquisition with 9.4% yield implying a significant dividend per share accretion and we have revised guidance for upwards up to $2.10, $2.15 per share in 2016. And finally, remember that regarding growth beyond the acquisition we announced today, we will have a low leverage ratio or ratio after this third drop-down will be around 1.6 times our corporate net debt versus CAFD will be only 1.6 times leaving ample room for acquisitions to debt whenever we believe that that make sense. We are working on upgrade rating; we expect to have that rating from two agencies available during the summer. We have shown you a very high visibility regarding future drop-downs and we’ll continue working on third-party acquisitions. All of these together make us believe that we should be able to close new acquisitions in the near future, allowing us to grow even further. With that, I will propose to start the Q&A session. And we have microphones here in the room for anybody who wants to go through questions and we would kindly ask you to introduce yourself, name and company before addressing the question.
Operator: [Operator Instructions].
Unidentified Analyst: This deal you announced today, it looks like the mixture of the two. I imagine Abengoa is going to talk on Thursday about continuing to dropdown those assets by the end of the year. Does this imply you would do another drop-down in this calendar year?
Santiago Seage: So, this is a transaction we have agreed with Abengoa after as you can imagine, after some months of negotiation believe what we believe makes sense. We believe that the probability of being offered other assets in the rest of this calendar year is high; I obviously cannot commit whether we’re going to reach agreements or not and therefore I wouldn’t commit to anything. But the chances of being able to do something else I think are high.
Unidentified Analyst: Eduard, in terms of the swap or hedge, this is unilateral across every drop-down that you do have been going moving out, is that correct?
Eduard Soler: It’s an agreement for this particular drop-down which is where we are purchasing yield of the nominated assets and we have extended trip to the yield assets that we purchased in the back; and this only works with the euro; it does that is that natural hedge between us and Abengoa because we receive euros from these assets on $1 and they receive dollars from us because they own part of us and they receive a portion of our dividends that they are a euro denominated company.
Unidentified Analyst: And how much do they cost you to go with Abengoa vis-à-vis the differential?
Eduard Soler: Well, the key differential, the key advantage of this structure is that if the opportunity cost of the credit lines we manage then we save [ph] because building a hedge of this size obviously implies having very sizable hedging lines and balance sheet that the banks can put with any given company are not infinite. And if you use them for this, you cannot use them for -- you cannot use it for leverage to acquire assets. So that you get cost advantage of doing it with Abengoa through this natural hedge is the opportunity cost of the hedging lines that we will not need to use.
Unidentified Analyst: My last question for Pemex, they actually this summer too announced some new relationships, both on production and downstream as the build out and privatized infrastructure in that country. Abengoa talked about potentially moving into traditional infrastructure; I know there’s some airport, things like that that’s going to happen, would you consider taking assets that are standard conventional, transportation assets or that it has to be renewable for you? Thank you.
Santiago Seage: For us, we invest in five categories which are the five categories where we are present today, renewable energy including solar and wind; conventional power which is natural gas; transmission; and water. At this point in time, we would not consider going beyond those five categories.
Andrew Hughes: Good morning, Andrew Hughes from Bank of America Merrill Lynch. A couple of questions on the ROFO 2 and then ROFO 3. On ROFO 2, can you explain what’s holding up Shams and ATN2 and what the expected timing there is? And then also on the Spanish solar assets, what the time frame is potential feed and tariff reset?
Santiago Seage: So, regarding the second drop-down in ATN, the transmission line, construction has not finished. And as we said, we would purchase once construction is finished. At this point in time, the expectation is that construction should be finished by June and we would purchase shortly after that. In the case of Shams, we have not secured the waivers we need to secure and therefore we continue working on that and we would purchase whenever those waivers are secured. In the case of regulation in the Spain, as many of you know, there’s regulation approved with regulatory period wherein the assets we are purchasing we have, as I mentioned between 20 and 23 years in front of us, that regulation is based on a reasonable return principle, and every six years the government can review some metrics within that formula. The first time they would be able to review metrics would be in 2019 and starting let’s say having an influence in the asset in 2020.
Andrew Hughes: And then on ROFO 3 and the financing with the private placement, can you explain where Abengoa’s ownership stake was prior to their participation? And I assume that their participation of private placement just holds that?
Santiago Seage: Abengoa before the private placement had a 51% ownership in ABY; they are taking a 51% in the capital increase, so they will have a 51% afterwards.
Andrew Hughes: And is there a goal sort to deconsolidate?
Santiago Seage: Yes. Abengoa has publicly said several times that they plan to deconsolidate and that continued being the case.
Brian Chin: Hi, Brian Chin with Bank of America. Just a follow-up on that last question. Can you give an update on the intention of where Abengoa parent’s ownership stake will likely get to at a certain point, if they want to deconsolidate, is there like a time table and trajectory we can think about now?
Santiago Seage: So Abengoa -- I am going to quote Abengoa because obviously this is a question for Abengoa but Abengoa, what they have publicly said is that they want to go below a 50%, either by selling a 2% or diluting themselves in a future capital increase. Additionally, remember that Abengoa sold in March this year, if I recall properly, they sold a bond exchangeable into ABY shares. That bond means that some investors will receive ABY shares like 20 months from now. It was a two-year paper. So, those investors, Abengoa owns that 9% but the factor, there are investors who are going to receive those shares, so Abengoa would sell or get diluted by a small percentage but also has effectively sold that other 9%.
Unidentified Analyst: Hello. What is the status on the waivers and approvals that would allow the parent to sell the 2%?
Santiago Seage: So, most of -- I mean trying to frame your question there for Abengoa to be able to go below 51% is some of a financing agreements in our project companies would require a waiver so that Abengoa can go below that 51%. At this point in time, we have secured most of those waivers but there are two that still we haven’t secured. They should be obtained we believe in the next few weeks or few months. There is no reason to believe that it wouldn’t be the case. But as of today, they have not been obtained, these last two waivers.
Unidentified Analyst: I just have that two more one. If you included the development assets in that CAFD loner term target 3.10 to 3.60, give a sense of what that number would be if you included some of the assets under development that Abengoa talks about.
Santiago Seage: I’m not going to give you a number from the top of my head for that. What I can tell you is that if we look at assets that Abengoa has been able to add to this list in the last two quarters for example, probably we are talking about 20% to 30% of that. So, in principle Abengoa has been able to grow this list quicker than the speed at which we have been able to purchase. So, the inventory of assets available for us has been growing, in spite of the fact that we have done three drop-downs in a year, which is very good news. We hope to be able to accelerate and we hope that Abengoa continues accelerating.
Unidentified Analyst: And then is the intention just to go forward to continue to roll any currency hedges forward at five years…
Santiago Seage: We will see, in each situation, we will see. As Eduard explained before, in the U.S. dollar, there was a very nice natural hedge that we could place here it might not be the case in every situation. In our case, as we have always said, we feel comfortable with our certain exposure to other currencies; we try to manage that. In this transaction what we are doing if you want is resetting the counter, so we are moving from 15% or 16% exposure to other currencies down to 7%, in spite of growing. Therefore we think this is a very important move on and very positive for ABY. We’ll see in this construction the future what’s the solution.
Brian Chin: Brian Chin of Bank of America again. I realize, this is more of an Abengoa parent question, but can you give any color on how the EIG JV is going; any sort of updates or thoughts?
Santiago Seage: It’s clearly an Abengoa question. What we know and Abengoa has said publically is that, the joint company has started -- has invested in some of the assets. From an ABY point of view, we expect to look at assets coming from APW-1 probably a year from now, not before that because the assets that are going to APW-1 are in construction or even the starting construction. So, it’s not going to affect us a lot. I don’t know this is for a year or for 18 months. But in principle everything is moving forward as planned.
John Quealy: John Quealy from Canaccord again. On the private placement, so I assume that was public, so can you talk about, is the deal oversubscribed; do you go out and top off the deal now that we’ve got double base to perfect it; how that works?
Santiago Seage: So the deal has been priced. Therefore investors have subscribed shares; demand was very strong; and allocation was not done, it’s in process, which is a very nice problem to have. We expect closing of the deal to happen later this week and to acquire the assets soon after that. We have found a very good reception for this transaction and we’re very grateful obviously to investors. And I think that this shows that the investor community is there to support us, if we find the right growth opportunities whereas I show before we think we have a lot of them in front of us.
John Quealy: So, the stock is still trading at a discount, it appears. Are there new investors potentially in this current round that run out the investor rates that perhaps over time hopefully will lower the discount, obviously in bias to the buy rating but you’ve got the couple of the transaction from competitors in the marketplace and YieldCos now and soon. So, can you comment -- do you have new investors in the book or is that more of a top off for existing?
Santiago Seage: I wouldn’t get into lots of specifics regarding who are the investors. What I can tell you is that in the YieldCo space in general and specifically in our case that we will have found our many investors who are looking from an opportunity to take meaningful possessions in the stock and how is daily liquidity was not allowing them to do that. And therefore in this transaction what we are seeing is mainly investors who have been following us, now taking a significant position. And in general, as I mentioned before, we have found a very good reception all across from different types of investors and therefore we think that going forward we will be able to do more. Obviously in the five that we have a higher yield than others; obviously might be part of the reason why we have found such reception and why we believe that that gap should be closed going forward.
Unidentified Analyst: Mike Fitzgerald [ph] from Eagle Global. Can you just talk about equity needs for the remainder of the year? If there is a high probability for further jobs, are you happy with where you are from an equity perspective or is this…?
Santiago Seage: What’s important to do the transaction with equity, because this allows us to keep a significant leverage capability in our balance sheet. If we are able to earn another transaction this year what I said that the probability is high, we will be deciding then how we finance it, obviously depending on where we trade; what kind of cost of debt we can look at. Remember we are going through a rating process, so it’s very difficult today to forecast how we are going to finance ourselves. What I can tell you is that we’ll be able to choose. We have a significant room in terms of debt and if it makes sense to do equity, we will and if we can do a bit of both, we will as well. So at this point in time, the good thing is that we’ve done a lot of equity and therefore we have some room for growth in that if that makes sense in the future.
Unidentified Analyst: So, the remaining assets that Abengoa is talking about for this year, the solar, I think as solar been one in six and some PV assets, the PV implies Santiago, a lower cash flow yield or not from your perspective?
Santiago Seage: I don’t know. I mean if we get off for those assets, we’ll take a look. I wouldn’t like to comment here on what Abengoa intends to do because in our welfare relationship, it’s them who decide what to sell. Therefore, whenever they offer new assets, we’ll be looking at them and deciding accordingly.
Unidentified Analyst: Can you comment again on the environment in third party markets and what sort of options and projects you’ve been able to take a look at and potentially when we might see the first one of those?
Santiago Seage: So, as we have told you from the beginning, we work on third party acquisitions. And at this point in time, we are working on two areas. One is acquisitions in the U.S. in renewable energy in photovoltaics and wind. At this point in time we are working on one specific transaction where obviously we don’t know who else is competing but our sense is that there is high demand and there is a large number of competitors out there. So, we will continue trying; we will continue working. Now I cannot promise that we are going to close transactions because environment is very competitive and numbers are very demanding. And the second area where we are working is assets in dollars in other geographies where we are present that have some sort of synergies with assets we already own. There we are finding situations with much lower competition and we’ll continue working on them. We are fairly advanced in one situation as well, a small one, and we’ll see if we can secure their transactions in the short term. So, we would love to do a transaction this year. I cannot promise that we are going to do it because we need to win and we are not going to drop our numbers just to win.
David Emami: David Emami from RBC Capital Markets. With ROFO 3, you guys said that financing would close later this week. I was wondering when can we expect to see cash available for these acquisitions or when would the acquisition actually close?
Santiago Seage: Most of the acquisitions will happen, I don’t know, within a week after closing.
Brian Chin: Brian Chin with Bank of America again. I think you’d mentioned in your opening comments that your payout ratio right now is running at around 70% level. How low are you comfortable with allowing that to go given just the pace of additions and the trajectory of when your cash flow starts to flow once assets come on line, different of your YieldCo peers will have different thoughts on that. I am just kind of curious where you stand now?
Santiago Seage: So, our target payout ratio as you know is 90%; in Q1 the number was significantly lower because Q1 was very strong from a cash generation point of view. And it shows that we started the year very strong from that point of view. Nevertheless, our expectation would be that that ratio in the rest of the year would be higher. And if it remains low, we would obviously review our guidance because at the end of the day our target is 90%.
Operator: Ladies and gentlemen, we will now begin the Q&A session from the conference call participants. The next question comes from line of Jason Lee. [Ph] Please go ahead.
Unidentified Analyst: Hi. I missed some of the call, so you may have already stated this. But for the ROFO 3 that was I believe estimated $225 million, what’s the status of that actual transaction? They assume that this one is separate. So, I guess that I may have missed it in some of the call?
Santiago Seage: Okay, don’t worry. So, $225 million was the estimation for our third drop-down that we and Abengoa gave to the market several months ago. What we are doing today is announcing that third drop-down. We have financed a size of $669 million. So the transaction we are announcing today is what months ago we thought was going to be between 200 and 250. So, it’s finally a much larger transaction.
Unidentified Analyst: Okay. And then some of the other concessions that I would have expected in the second half of the year I guess are being done now; is that right, like go no go 1, 3 and 4?
Santiago Seage: It’s the way of looking at it. So, we are doing a larger transaction than what we anticipated because Abengoa has offered us more assets than what we thought and we have ended up reaching an agreement that we are announcing today. So, a way of looking at it is, we might have acquired those assets later in the year but the fact of the matter is that they are now part of the third drop-down we are announcing today.
Operator: Our next question comes from the line of Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: I was just wondering in terms of consolidating the euro debt on the balance sheet, if you could explain how that would work in the FX assumptions behind that? Secondly, looking at the 12% agreement you have for the first 100 million, which is kind of obviously with lower than 9.4% cash yield, so the remainder. Is this the kind of level you’d expect for pricing for future acquisitions going forward or would you expect a less of that?
Santiago Seage: I don’t know if I fully understood your question, sorry. The line was not very good. Let me try to answer what I understood and then you complement as required. I think that you were asking whether the 9.4% yield is something you can believe we are going to be using going forward. Obviously yields are negotiated with between a seller and a buyer. Abengoa has got a different management team from ABY, therefore we negotiate every deal. And this 9.4% is the result of these negotiations. Therefore I would not use an extrapolation going forward because depending on the assets, depending on that negotiation, the number will be different. What else did you ask, sorry?
Sean McLoughlin: That was my second question. The first question was just around consolidation of euro denominated debt and what FX assumptions you would assume?
Santiago Seage: Anybody understood the question? We have difficulty to understand you here, sorry.
Sean McLoughlin: Can you hear me now?
Santiago Seage: A bit better. If you can get close to the phone and inquire again?
Sean McLoughlin: Okay, is this better? It’s a question regarding consolidation of the euro denominated debt on the assets and what FX assumptions you are using.
Eduard Soler: Well, I mean we are buying more actually 100% of those assets. So we are going to consolidate that debt. That debt is denominated in euros but it stays out of a cash flow of a project that is denominated in euros. Once we pay the project finance that becomes, CAFD becomes cash available for distribution and that’s what we are hedging with Abengoa. So that’s how it’s going to work. And yes, we are going to consolidate the debt of the euro denominated assets, of course. Was that the question, sorry?
Sean McLoughlin: What is the easy of this transaction in dollars?
Eduard Soler: It’s irrelevant because of what I explained because the debt of those assets is in euros, it will be paid of cash flow generated by those assets in euros, then that becomes a distribution; it becomes CAFD; and the CAFD is dollarized through the agreement with Abengoa. So, those are the mechanics of the process. So you don’t really care about the exchange rate if you want.
Operator: There are no further questions.
Unidentified Analyst: Hi. On the Solana asset, I believe you had projected, it’s 940 megawatt hours or gigawatt hours that was project per year. Are you going to hit that this year? And then, if that isn’t hit, is it Arizona Public Service get a chance to claim any sort of penalties or how does that work?
Santiago Seage: According to the PPA, we have in the case of Solana, in the case of Mojave as well, if one year, we do not hit our internal target, nothing happens; there will only be consequences, if we miss that number by a wide margin, by a lot. I don’t remember now if it’s like 40% or something of that. Therefore, there would be no consequences. This year most likely we’re not going to meet the number you’re quoting in Solana, because it’s the second year in operation and therefore it’s going to be in our internal forecast. We assume that it was going to be lower than the number you are quoting, which is more an ongoing rate, typically in solar assets, you have after a year, which is slightly lower and in many cases, a second which is slightly lower as well.
Unidentified Analyst: How low below the 9.40 are you thinking for this year?
Santiago Seage: I wouldn’t be able to answer from the top of my head. But more or less the number we’re expecting which we can look at it offline. I don’t remember now Solana, specifically the number this year.
Unidentified Analyst: Hi. Regarding FX has with the current, couple of questions. One, is there any sort of kind of collateral posting requirement over the course of the swap? And then two, given the hedging -- the swap in place, does that change your -- that that capacity is appropriate. You previously had three times kind of max method to CAFD; is that still intact or…
Santiago Seage: There is no former collateral package as part of this agreement with Abengoa, to your first question. To your second question, it doesn’t affect our target ratio at all. What it does is, it provides two to four, five years of the CAFD we’re going to have because we remove the euro dollar exchange rate risk, if you want. So that’s the impact, if you want in sizing the debt but it doesn’t change the policy; it doesn’t change the value.
Santiago Seage: Okay. We have no more questions. Thank you very much for those who came in person and thanks a lot to those who joined on the phone. Thank you very much.
Operator: Abengoa Yield first quarter 2015 presentation is now over. You may disconnect your lines. Thank you.